Executives: Jason Kiser - Treasurer R. Stanton Dodge - Executive Vice President, General Counsel and Secretary Joseph P. Clayton - Chief Executive Officer, President and Director Robert E. Olson - Chief Financial Officer, Principal Accounting Officer and Executive Vice President Charles W. Ergen - Co-Founder and Chairman Bernard L. Han - Chief Operating Officer and Executive Vice President Thomas A. Cullen - Executive Vice President of Corporate Development
Analysts: Craig Moffett - Sanford C. Bernstein & Co., LLC., Research Division Vijay A. Jayant - ISI Group Inc., Research Division Douglas D. Mitchelson - Deutsche Bank AG, Research Division Marci Ryvicker - Wells Fargo Securities, LLC, Research Division Stefan Anninger - Crédit Suisse AG, Research Division Benjamin Swinburne - Morgan Stanley, Research Division Jason B. Bazinet - Citigroup Inc, Research Division Jeffrey Duncan Wlodarczak - Pivotal Research Group LLC Tuna N. Amobi - S&P Equity Research James M. Ratcliffe - Barclays Capital, Research Division
Operator: Good afternoon. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the DISH Network Corporation Q1 2012 Earnings Conference Call. [Operator Instructions] I'd now like to turn the call over to Mr. Jason Kiser. Please go ahead, sir.
Jason Kiser: Thanks, Michelle. Thanks for joining us everyone. This is Jason Kiser. I'm the Treasurer here at DISH Network. I'm joined today by Charlie Ergen, our Chairman; Joe Clayton, our CEO; Tom Cullen, Executive Vice President; Bernie Han, COO; Robert Olson, CFO; Paul Orban, our Controller; and Stanton Dodge, our General Counsel.  Before we turn it over to Joe and Robert for their prepared remarks, we do have to do our Safe Harbor disclosures. So for that, we'll flip it to Stanton.
R. Stanton Dodge: Thanks, Jason, and good morning, everyone, and thank you for joining us. We invite the media to participate in listen-only mode on the call and ask that you not identify participants or their firms in your reports. We also do not allow audio taping and ask that you respect that.  All statements we make during this call that are not statements of historical fact constitute forward-looking statements, which involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the front of our 10-Q. All cautionary statements we make during this call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and should not place undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements.  You may also have seen that we filed an 8-K this morning, giving notice of an offering of our debt securities. That transaction involves a private placement of securities and for legal reasons, we can't respond to any questions on the offering or its terms on this call. And with that out of the way, I'll turn it back over to Jason.
Jason Kiser: Thanks, Stan. And Joe, you have some remarks that you'd like to make?
Joseph P. Clayton: Thanks, Jason, and good afternoon to those of you on the East Coast, and good morning to our West Coast participants. Now I've been serving as the DISH CEO for a little over 10 months now. And early on, I was pleasantly surprised at how solid the fundamentals were here at DISH. We're fortunate to have an outstanding operations team headed by our Chief Operating Officer, Bernie Han, and we also have an excellent financial organization led by our CFO, Robert Olson. So I saw my assignment as significantly improving our marketing and sales efforts. Thus, I've been focused on developing a customer-focused transformation here at DISH. Now I spent the first 6 months working on identifying the weak areas, powering new leaders for key positions, setting specific objectives, developing the strategy or game plan, establishing key performance metrics and defining a time line for completion. That was Phase I of our transformation. The balance of my time was spent communicating our new DISH Customer First vision to our key constituents: programming partners, distributors, key retailers, employees across the country, DISH customers, the press and yes, even Wall Street.  Since the January CES show, DISH has taken the following actions: reorganized our management structure with the greatest change coming in the marketing and sales areas. For example, we have realigned our sales efforts by segmenting our business into 6 distinct channels of distribution: TVRO or independent retailers, national accounts, telecommunications, independent direct sales marketeers, commercial accounts or B2B and our own DISH direct sales. All channels are headed by experienced, energetic, intelligent and sales-savvy vice presidents. The entire senior marketing team has also been reorganized. And just last month, we hired an experienced communications professional as CMO, James Moorhead. Now James is no stranger to business and brand transformations. He joins us from Proctor & Gamble, where he oversaw the reenergizing of the Old Spice brand.  And we've launched new products, the Hopper and Joey, the industry's most innovative whole-home HD DVR solution. We've developed new promotions like Blockbuster @Home, which has a step-up selling focus and it has an unequaled programming consumer offer. We've created exciting national advertising with our new ad agency, BFG9000. It has significantly enhanced our brand image and is resonating with the buying public. Our creative message highlights our unique product attributes like PrimeTime Anytime and over 2,000 hours of storage capacity. These are features that others cannot match. We've developed a simplified but elegant new brand treatment for DISH. We've established new corporate partnerships with SIRIUS XM and Univision. We've expanded our commercial focus on the Hispanic market. We have completed the transition to a new billing system. We've designed and launched a new website and we've even introduced new corporate mascots, Hopper and Joey. Yes, we have indeed been busy.  Now I'm going to give you a progress report in a few minutes. But first, I want to update you all on 2 important corporate initiatives. First, Blockbuster. In terms of this business, we reported $14 million in operating income for the first quarter. This included the financial impact of closing roughly 500 domestic stores, which we discussed on our last call. Going forward, we'll monitor the performance of our remaining stores closely as we go forward. Now in addition, we'll continue to experiment with different marketing and merchandising ideas and we'll introduce new products, which you'll hear more about in the coming months. Just 2 weeks ago, we announced that we would move the Blockbuster corporate headquarters to Denver. This will be completed by the end of the second quarter. We can then leverage the strengths and capabilities of DISH across the entire Blockbuster enterprise. We've also put in place a Blockbuster senior management team, which brings a great deal of retail experience to our commercial efforts. That's Blockbuster.  Now let me give you a quick review on our wireless assets. As you know, in mid-March, we closed our acquisitions of the reorganized DBSD and substantially all of the assets of TerreStar, making DISH the licensee of a large swath of spectrum, 40 megahertz largely unused. The FCC subsequently issued a notice of proposed rule-making and then published its proposed new rules. This would effectively re-band our MSS spectrum into AWS spectrum, thus potentially allowing for terrestrial-only wireless services. These rules were written to free up new capacity for mobile broadband, which will also help solve our nation's spectrum crunch, plus it will also allow for new competition in the marketplace. We look forward to working with the FCC through this rule-making process. Charlie and Tom will be available to answer any of your wireless questions at the end of our presentation.  So let's move on to the first quarter highlights. I'll let you all be the judge as to whether we're making progress on our DISH transformation. First, we continue to grow. Our first quarter net subscriber additions were the highest they've been in 2 years. We gained over 100,000 net new customers in a difficult, competitive and economic environment. We ended the quarter over the 14 million mark.  Other items of note were churn came in at 1.35%, the best performance in many years. Some of this can be attributed to our not raising prices in the first quarter as all competitors did, something that clearly resonated with customers. Our customer satisfaction measurements improved. We successfully converted to a new advance billing platform, one of the greatest operational accomplishments in the history of our company. And with the successful product launch of our new whole-home HD DVR, the Hopper and Joey, our broadband connectivity rates are trending up as well. So all signs indicate that our DISH transformation is moving in the right direction, but there is still a lot more work to do.  Now let me tell you all a little more about some of our key initiatives. Again, we successfully launched our award-winning Hopper, the satellite industry's smallest most energy efficient and feature-laden whole-home HD DVR. Along with Hopper's sidekick, the Joey, a lightweight easy-to-hide companion for multiple-room usage. This groundbreaking product with its PrimeTime Anytime feature and massive 2-terabyte hard drive is proving to be a winner with consumers. Hopper has also been instrumental in reenergizing our brand. Now we only had 2 weeks of Hopper sales in the quarter. The new activation sales and existing customer upgrades are meeting our initial sales expectations. Consistent with our new brand focus on variety, innovation and value, our Hopper launch was supported by a product-oriented national advertising campaign, featuring the lovable Boston guys. America's now beginning a love affair with the Hopper, and you can expect to see more product-focused advertising spots in the future.  Next, we continue to see success with our Blockbuster @Home promotion. We believe that this content package is a superior product value for DISH subscribers. In the first quarter, Blockbuster @Home had a positive impact on our sales mix. Our step-up selling strategy gained momentum as we improved our sales of our higher-margin America's top 200 and 250 programming packages.  Moving to operations. As I mentioned earlier, we successfully completed our billing system conversion on March 31. This was a major milestone for DISH. It was a 2-year effort that also included implementation of a new workforce management system, a new IVR platform and a new data center in Cheyenne, Wyoming. These systems are the heart of our operations, and this overhaul will greatly improve how we serve our customers through increased flexibility and speed to market. This Herculean effort was headed by our SVP of Information Technology, Michael McClaskey, job well done. So as you can see from our recent management and business changes, we're going to great lengths to set ourselves apart from our competitors.  Internally, we like to refer to our differentiation efforts as more music, more movies and more magic. It is our goal to offer much more than the pay-TV competition. This is the course that our DISH transformation has embarked upon.  Now to provide you all with greater details on our financial performance, here's our CFO, Robert Olson.
Robert E. Olson: Thank you. As Joe described, first quarter results were generally in line with our expectations. We're pleased with our churn rate of 1.35% for the quarter, which was 12 basis points better year-over-year. Some of this improvement obviously was driven by the fact that we did not increase programming prices in the first quarter this year.  Subscriber-related revenue increased by roughly 1% year-over-year in the first quarter. Profit was up 1.8% year-over-year but down slightly versus fourth quarter. As we discussed on our last earnings call, both pay-per-view revenue and advertising revenue tend to be seasonally lower in the first quarter than the fourth quarter. We expect these areas to rebound in the second quarter. Total company revenue increased by 11% year-over-year in the first quarter, largely driven by the incorporation of Blockbuster into our results and our price increase last year. Subscriber-related expenses increased by 4.1% in the quarter versus last year. We had a slight reduction in variable cost as we continue to drive process improvements in operations. However, these variable cost reductions were more than offset by higher programming expenses. The increase in programming costs was driven by contractual rate increases.  Total cost of sales increased year-over-year as first quarter 2011 did not include Blockbuster's results. As Joe mentioned, we closed roughly 500 Blockbuster domestic stores in the first quarter. We generally liquidated the inventory for these stores at prices above their book value. As a result, Blockbuster was able to generate slightly higher income in the first quarter relative to prior periods. As we discussed previously, with the majority of the stores that were closed, we negotiated early termination provisions in the leases. Therefore, shutdown costs associated with these stores were not material to our results. We remain focused on keeping the business above breakeven, while we experiment with new marketing ideas, both integrated with the pay-TV business and stand-alone. Our SAC for the quarter was $751, which was down versus recent quarters, but up 3.6% compared to first quarter 2011. The year-over-year increase was driven by higher advertising in the quarter associated with the Hopper launch, partially offset by the deployment of a higher percentage of remanufactured receivers. Keep in mind that we only had 2 weeks of Hopper sales in the first quarter. We expect SAC to increase slightly some next quarter when we have an entire quarter of Hopper equipment sales. While administrative expenses overall were impacted by the Blockbuster acquisition, G&A expenses for the DISH pay-TV business were largely consistent with recent trends.  Net income was down 34% in the first quarter on a year-over-year basis. There were several one-time items, which distorted that year-over-year comparison. Obviously, the largest item was the $341 million litigation accrual reversal associated with the TiVo settlement that occurred last year. This quarter, we had a $99 million gain in other income associated with the conversion of our DBSD senior secured notes upon completion of this transaction in March. We also had $14 million of noncash stock-based compensation this quarter driven by the stock option adjustment, which was made in connection with the $2 dividend we paid. This stock option adjustment had previously been disclosed in our 10-K filing in February.  Finally, with the closing of the DBSD and TerreStar transactions, we have broken out a separate wireless spectrum segment in our financial data. These transactions closed on March 9, but we only consolidated 22 days of results in the first quarter.  We generated $690 million of free cash flow in the quarter due to the timing of estimated tax payments and cash taxes were far less than book taxes in the quarter. For the remainder of the year, we expect cash taxes and book taxes to be in the same general range. However, that will vary by quarter, and second quarter cash taxes are expected to be higher than book taxes. Cash flow was also helped in the first quarter by a $37 million reduction in inventory, which was partially driven by the Blockbuster store closings. Finally, we continue to control capital spending, with first quarter expenditures under $170 million.  There are 2 major changes on the balance sheet versus last quarter. First, we allocated the TerreStar and DBSD assets to the specific balance sheet accounts, predominantly the property and equipment line and the FCC authorization line. Second, the strong cash flow performance in the quarter increased our cash balance from roughly $600 million at year end to slightly over $1.3 billion as of March 31.  Let me now turn it back to Joe before we start Q&A.
Joseph P. Clayton: Thanks, Robert. I believe that today's first quarter results clearly show that we have made progress. Unquestionably, there is much more work to do. There will be ups and downs as we move forward, but we are committed to improving our DISH business approach with the right people, the right programming, the right product, the right promotions, the right advertising and the right customer care.  Thanks for joining us today for our first quarter earnings call. Now we'll open it up to your questions.
Operator: [Operator Instructions] Your first question comes from Craig Moffett from Sanford Bernstein.
Craig Moffett - Sanford C. Bernstein & Co., LLC., Research Division: Two questions if I could. Charlie, first, with respect to your wireless strategy, would you say your interest in further spectrum acquisition at this point is fully satisfied? Or would you have interest in longer-term spectrum plays like LightSquared, for example, in its bankruptcy? And then second, if you could just comment on the litigation with AMC and your decision not to carry AMC going forward at their asked-for prices. I know you said those 2 things are unrelated, but if you could just comment on those 2 things.
Charles W. Ergen: Okay. I think I'll start with AMC. Maybe Joe will jump in here. But the -- we have very, very specific viewer measurement here, much more granular than somebody like Nielsen would have. And so we're able to watch our customer base and realize we skew a bit more rural, and so we just don't -- if you look at the Rainbow programming, they are very low -- a very, very, very low viewership outside of a few, obviously, popular channels on AMC. Those particular channels are also available to our customers through a variety of other sources like iTunes, Amazon and Netflix and so forth and so on. So one of the things that programmers have done is they've devalued their programming content by making it available in many multiple outlets. And so when someone asks for pricing -- I mean, and we just have to be up at the end of our contract, so the -- we look at it. Our customers are not really saying, "We want to pay more money." They're saying, "We want more flexibility in our programming and we don't want to pay more." And so when you look at that from a timing perspective, that's just a contract that we can change and we believe that the product has actually been devalued. And not that it's not good -- not that there's not some good programs, but it's been devalued because you can get it multiple ways and customers are asking for more flexibility or have more flexibility to get the programming, so it's not quite the same if something was exclusive. And so we look at that and say, "This is a good opportunity to make a good business judgment call." I mean, obviously, there's a price where a Rainbow product makes sense. We just don't think that's where we are today. And Joe, do you have anything to add to that?
Joseph P. Clayton: No, I mean, we're facing situations where we want to reduce programming costs and the programming providers are raising them. So they're going the exact opposite way. So we're trying to find the right balance here.
Charles W. Ergen: That'll be really interesting because it's easy to make a short-term gain by -- I think all MVPD customers -- I mean, companies are going to take a look at this. We're not going to be the last one to take a look at these kind of issues. And when you're in a marketplace when typically, most customers have 4 providers to choose from who all sell exactly the same thing, there's probably going to be some breakout of one or more companies offering something a little bit different, at little different prices, so the customers have a bit more of a choice. And that may be disruptive short term, but maybe not -- maybe a chance to gain market share long term. So a lot of things can go on, and I think over the next year or so in the programming side, we just made a decision based on real data from our customers. On the wireless side, I guess I'd answer it from a big picture perspective, which is our focus right now is really on getting the FCC approval. We own about 6 megahertz for most of the country today and 700 megahertz. There's 40 megahertz at stake here. That would give us about 45 megahertz nationwide, and that's enough to get business. And obviously, that rule-making now is in front of the FCC. We're disappointed that we didn't get the waiver to enter the business today. But we'll certainly work with the FCC to get the rule-making done as fast as possible. It would allow us to enter the business. Long term, I think that there's only 2 companies that are well positioned spectrum-wise for the long haul, and that's AT&T and Verizon. Verizon, even better, potentially even better if they are able to purchase a cable spectrum. So I think that long term, I think you're going to have to have -- for people to compete, they're going to have to have spectrum, but there's a variety. Hopefully, there'll be new spectrum coming on the market. Hopefully, there'll be other ways to make spectrum more efficient. And we certainly think that if we're allowed to enter the marketplace, our 45-megahertz spectrum is certainly enough to enter the marketplace and compete.
Operator: Your next question comes from Vijay Jayant from ISI Group.
Vijay A. Jayant - ISI Group Inc., Research Division: A couple of questions. First, on the Blockbuster @Home, can you give us any sense on how that product take-up has been for folks that can choose it? Not as part of the ATC top 200 where it comes as part of it. So on a stand-alone basis, have people chosen that product and if there's any subscriber churn on that? And second, as you mentioned, the programming costs were a little higher this quarter and there's some changes you're making. But can you talk about just retention strategy today on your subscriber base when you have 14,000,000 subscribers and obviously, churn improved. Was there really any increase on retention spend at all?
Robert E. Olson: Vijay, this is Robert. I'll take the first question and then Bernie Han will take the second question on retention. The Blockbuster @Home package has performed very similar to our premium movie channel packages. When we offer it during a promotional period for new customers, we get a relatively high take rate. When the promotional period -- when the promotional period rolls off, some of those customers drop off, but a good number of them stay, and so we look at that curve being very similar to premium movie channels. Keep in mind that the Blockbuster @Home package was first launched in October. At that time, customers got either 3 months or 12 months promotional period depending on their programming package. We've since moved to a 3-month promotional period for all customers. And so we have limited data at this point, but everything we've seen says it's tracking very closely to premium movie channels.
Bernard L. Han: Okay, with respect to churn, what we've been trying to do for the last year or so is not only get our churn improved, which we have over the last few quarters, but also to do so by spending -- while at the same time spending less money, and we've been successful at doing that for the last 2 quarters at least. This quarter, as Joe and Robert alluded to, our churn was helped out pretty materially by not having a price increase occur this year. It would normally occur in the month of February. We've done a lot besides that to try to improve churn without spending more money, things like coordinating our efforts on the retention side with customer service. There's a lot of synergies as it turns out between those 2 functions. We're spending more on reactive treatments rather than proactive treatments with our customers. We're trying to make our customers simply just more aware of the things that are already provided as part of their programming packages that already come with what they already pay for rather than trying to give them more. So all of those are helping with us reducing churn, at the same time, spending less money. But again, in this quarter, the lack of price increases probably had the biggest impact.
Operator: Your next question comes from Doug Mitchelson from Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: A couple of questions. Charlie, first, in the wireless area, anything that you've seen during the FCC comment period so far of concern? And we've been hearing from companies that are meeting with DISH regarding you guys designing wireless network build out and service, and I was hoping you could share what you see is the biggest challenges, if any, for a wireless build out and potentially entering the wireless arena.
Charles W. Ergen: Yes. The comment period is -- initial comments, I think, are due early next week.
Robert E. Olson: May 17.
Charles W. Ergen: May 17, and the final comments June 1. So we don't have -- I don't think we've seen comments -- we won't see comments before then. They'd probably be fairly similar to the comments we saw in the DBSD-TerreStar merger comments and obviously, they centered -- the most important being centered around interference. We know it's a big topic in Washington. And again, in those comments, the government actually -- the GPS industry actually commented that we don't interfere within the GPS side of the business. So that's -- so I think that we'll have to wait and see what the comments are, but I don't think this is -- there's lot of surprises there. I think we've done a lot of homework in terms of the spectrum and in terms of the interference issues, and there's very little in the way of that. So I don't expect a lot on that side, but we'll have to wait and see. Obviously, the focus is -- Tom and I and our team, really, is focused on 2 things. One is, today, we came here in the business today with a dual-mode handset, and we've built dual-mode-host handsets in the past and have some available for sale today. But we're moving ahead very rapidly on the second-generation, dual-mode handset that would work both directionally, and make a link to the satellite. That we're allowed to do today. And then we're hopeful that the FCC will restrict -- give us more flexibility and eliminate the need for all of our handsets to make a link to the satellite because that will obviously allow us to make a less expensive, more robust phone to compete against the other guys in the business. But in the meantime, we're doing what we can do, which is to continue with next generation. We're learning as much as we possibly can about the business. And obviously, it's a very, very complex business, much more so than the satellite TV business and the MVPD business, so it's -- and the technology's changing very rapidly. So the good news is we've gotten up to speed and have a decent handle on it today, whereas, a year ago, we didn't know much about it. There's a lot of moving pieces didn't fit together. And finally, I'd say that we're talking -- and Tom, you may want to jump in on here. We're talking to a lot of people. We're talking to everybody out there that has some piece of the wireless business that we think can help us either as a vendor or a partner or a customer whether that be in the chipsets, the handsets, the towers and so forth and so on. Tom, you might want to just give a feel for the kind of things we're working on.
Thomas A. Cullen: Yes, Doug, it sounds like you've probably heard that from the community. We've been very active in meeting with the infrastructure providers, as well as other technology vendors in order to jump start the S-band ecosystem, which we're prepared to do. And we'll be moving -- you'll see some movement on that in the next couple of weeks. But however, it's all still predicated on the outcome of the FCC process. And so you may have seen that we met with the FCC last week and we've indicated to them that we want to try to work on a more reasonable build out schedule that allows for that time of development in terms of ecosystem development to support S-band, as well as using a reasonable milestone structure that would allow us to enter the market, provide something competitive and still allow us an acceptable return on capital, which is something that we'll focus on during the proceedings over the next month and beyond.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: I'll limit myself to one more, I guess, for Robert. The wireless results for 22 days suggest a run rate of $30 million or so losses per quarter. On the wireless business, is that what we should consider the run rate to be sort of this year?
Robert E. Olson: Doug, yes. The 22 days is roughly 1/4 of a normal quarter. So I think that, that would be a good starting point just basically taking 4x our first quarter results. There will be little ups and downs as we go through, but we'll explain that on future earnings calls.
Thomas A. Cullen: Well, I'd also add to that, though, during those first few weeks, while we -- once we closed on the businesses, we combined the 2 organizations and rationalized their spending significantly. So there were severance payments and termination agreement -- or termination payments in those first few weeks, Doug, that wouldn't be projectable going forward.
Operator: Your next question comes from Marci Ryvicker from Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: I have 2 questions. The first, Robert, you touched on the increase in programming expenses, so how should we think about this particular line item for the rest of the year? And can we expect any change from an expense basis going forward now that the billing platform was finished at the end of the first quarter? And then my second question is for Charlie on the wireless asset. Is there a maximum amount of money you're willing to spend to monetize this spectrum? Because there's a view out there that should you go it alone on a network build, it will cost you upwards of $10 billion, and I'm curious as to your thoughts on this number and how you think about the return on a potential network build.
Robert E. Olson: Marci, this is Robert. I'll take your first question. I think our programming costs are quite similar to the other competitors in the industry. I think that we've talked about this being single digits, but certainly above inflation and that hasn't changed. It's currently above the inflation rate. Last year, we were very successful in offsetting those programming costs to some degree by reduction in variable cost. In the first quarter, year-over-year, we reduced variable costs further, but not by as much as we did last year. So I think that we will have pressure in that line and we'll continue to find ways to offset that. But first quarter is a good reflection of the challenges we face.
Charles W. Ergen: It's Charlie. I guess, I'd say it this way, that the wire -- that the real key for us will be how the FCC decides as to how we proceed in the business. But we look at the -- we look at that our strategy within wireless today has actually been very, very conservative. And those of you that have been an investor of ours for a long time, know we're very conservative in terms of management and how we do things. And I think you can expect us to be conservative in how we enter the wireless business as well, but that doesn't mean that you don't go out and do things. And certainly, our customers today, we're in a mature industry from a fixed video perspective, but certainly our customers are broadband customers and wireless customers from other companies and so it makes sense for us to tie all that altogether in one offering for our customers because it reduces churn and gives us a chance to enter new markets and certainly can increase our ARPU and our margin. So the cost of -- one of the nice things about wireless is there's not a programming cost there. The cost of air is not necessarily going up, but the cost of programming is. So it makes sense for us to diversify and get in the total fixed and wireless business. That's pretty conservative strategy quite frankly. There's a wide range of things we could do. We could build it alone on the one hand. And on the other hand, to the extent that we weren't allowed to get in the business, have enough flexibility, we could sell the asset. Neither one of those is likely -- is as likely because they're at the far end of extremes of what you might do. I think we're more than likely going to be somewhere in between that where we work -- assuming we get flexibility and enter the marketplace and assuming the timing to that is fairly quickly, obviously, there's a point in time when we just couldn't enter the marketplace because the market's passed us by. But assuming that the timing and flexibility are allowed, it probably makes sense to work with people who are already in the business. They already have towers. They already have relationships. They already have spectrum. They already have handsets. It makes sense to work with them because we bring something that makes the transition for them, particularly to LTE, much easier, so -- and we also bring video in a way that they may not be able to do themselves. So that's why, as Tom mentioned, we're certainly talking to everybody to see where this fits strategically with how we'd enter the marketplace and how we'd be competitive. But obviously, I'm happy to spend $10 billion if we can get a 50% return on it every year, right? I wouldn't be happy to spend $10 billion if we get a 3% return on it every year. So I think you can be rest assured that as a company, we're going to go spend our money where we think we'll get the greatest return. And that's one reason we spent almost $4 billion for spectrum as opposed to that same $4 billion in SAC to grow a business for a customer that doesn't generate as much return as they did 4 or 5 years ago. So everything for us is an economic analysis. We have realtime data. We have now great expertise in the video side of the business. We're developing great expertise in the wireless side of the business. And so I really -- I really am comfortable with where we are strategically. No matter what happens out there in the marketplace, there's going to be a lot of things that are going to happen over the next year. And I think like we -- I feel like we've positioned ourselves to kind of move based on things outside of our control, which at this point in time, is primarily with the government.
Operator: Your next question comes from Stefan Anninger from Crédit Suisse.
Stefan Anninger - Crédit Suisse AG, Research Division: I was hoping you would discuss the moving parts that will impact potential for customer growth for the balance of the year. On the plus side, you have no price increase and the Hopper, of course. And then from a headwind perspective, you have DTV's decision to extend its free NFL SUNDAY TICKET promotion. So as you look out, how optimistic are you about being able to grow subs? And then if I just may slip in a related question, in the past, you've reduced marketing in some quarters when DTV has been out aggressively marketing attractive promotions. Would you consider doing that this year?
Joseph P. Clayton: This is Joe Clayton. I'll try to take that one, Stefan. One, we have a new product that we've just introduced in the marketplace that we think will resonate to the buying public, that we believe has greater features and capabilities than our competition. Two, we do not have the Sunday ticket, but we will also be bringing promotions to the party like Blockbuster @Home, and there will be additional promotions coming throughout the balance of the year that we think will also help stimulate sales. We are reenergizing our brand with a whole new creative strategy, if you will, that we think will indeed entice people to buy DISH products. And these spots and our advertising messaging will highlight the product attributes that we believe are better than what our competition has to offer. And in my prepared remarks, we talked about differentiation. It's our strategy to offer consumers what our competition does not have and to set ourselves apart and to help us sell a better mix of goods. So that's the roadmap that we're looking forward to in addition to greater customer service. And I think you'll see as the year goes on that we are making great strides here as well.
Charles W. Ergen: This is Charlie. I just want to add. I think there's a real misconception on the football, really, that we and others in the business had the red zone, and the red zone really shows every important play of every game. In HD, no commercials, no blackouts. And so we found that customers actually are finding out about we maybe haven't done as good a job marketing that product as we should and Joe is going to change that. But people -- we find a lot of people prefer that product and certainly less expensive, and I think that -- that one, I think, that I view the reduction of the season ticket price, obviously, is a strategy where the price just got too high and maybe the right fees and so forth and so on, and they now have to give away more programming. And whether reducing, cutting your cost in half is going to make more revenue for you, more profit remains to be seen, but my gut feels probably not. And I think that it's in part a reaction to the fact that the red zone, which shows all the games, all the important plays from every game is really a fantastic product. And for the vast majority of customers in football is actually a product that is maybe a better answer for them. And so since we have that product, I don't think that the season ticket is a big a deal as it maybe has been in the past.
Operator: Your next question comes from Ben Swinburne from Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: Two questions. Charlie, maybe if we could pick up on the prior question about the FCC process. There's another process going on, on the cable side with Verizon Wireless. And I don't know if there's a direct relationship and you've always said you're 0 for whatever, 100 in DC, but I'd love to get your thoughts on how you see that playing out because on one hand having Verizon Wireless and cable partnered is a competitive issue for -- a potential competitive issue for your pay-TV business. On the other hand, if the FCC rules that they don't want Verizon to have more spectrum and they want to limit the big incumbents, AT&T and Verizon, from getting more that could have an impact on the flexibility, I think, you're looking for with MSS. So I'd love to hear any thoughts on that, and I have one follow-up just operational for Joe.
Charles W. Ergen: Yes, well, obviously, I think Verizon's foray into the wireless and with the cable industry and then the marketing agreements, which we haven't seen un-redacted is cause for -- is potential cause for concern because obviously, you have 2 competitors who now are getting together potentially and tactically agree not to compete against each other. So that's really a question for the FCC and the Justice Department to take a look at and we haven't seen the details of those agreements. So we don't know whether there's concerns there or not, although on the surface, that certainly looks like something that's worthy of investigating. But it does -- it is going to be one of the key variables that will determine our ability to enter the business and whether we can be successful or not. I mean, obviously, the first and foremost is to have the FCC finish the rule-making as rapidly as possible, and we see no reason why that can't be done by the end of the summer. On June -- when June 1 comes, the comments are done and the FCC could rule any day after that. There's nothing to stop them from ruling the next day other than, obviously, there's a process where they got to read all the comments, respond to the comments, analyze the comments and prepare a rule-making. But obviously, that could be done in several months. It doesn't have to take several years to do that. And certainly, if that's a priority, as the President and the Chairman of FCC have said, then we'd be cautiously optimistic that would be done by the end of the summer. The Verizon cable deal could also be done this year perhaps, and that would be the other thing that would probably be -- would probably set the landscape for the wireless industry going forward. And obviously, that's not our focus today because we have our own issues to make sure that we can enter the business. But it makes a big difference and depending on how that goes, there's going to be -- the government picks winners and losers, as we all know. There's going to be haves and have-nots, and we just have to position ourself that no matter what happens, no matter what those results of our rule-making and the Verizon cable deal, no matter what happens there, that we can put this company in position to move in directions that would be beneficial to our shareholders. And I think I like where we are there. And we'll do our best to help the government make the best decisions they possibly can and make sure that we're articulating how we see the industry and the things that are important. And then these are bright people in government and they work hard. And in general, I think the FCC has gotten big decisions right, and I hope they get it right this time.
Benjamin Swinburne - Morgan Stanley, Research Division: So is it fair to say that if they were to rule that Verizon Wireless accumulating additional AWS spectrum is not in the public interest of competition, that would be a concern for you as you think about your flexibility exiting this process?
Charles W. Ergen: No, I wouldn't say it that way. I'd have to see what the conclusion they came to and why they came to conclusion. But obviously, we're not approaching the kind of spectrum that Verizon has. Now having said that, Verizon realized and said that they may sell-off some spectrum, some less valuable A-band spectrum. So it really would be the conditions that are put on it if they were allowed to -- do they approve it with conditions or do they not approve it at all, we'd have to wait and see whether that -- how that changes the industry. But what -- the way you paraphrased it, it wouldn't necessarily be a concern. It could be, but it wouldn't necessarily be.
Thomas A. Cullen: Yes, Ben, this is Tom. I would say, well, first of all, we haven't taken a public position on the Verizon proceedings. Secondly, I think it is important to separate the competitive aspects of the proposed arrangement versus the spectrum acquisition. I think those are 2 very different things. And the backdrop to that, of course, is the demands on frequency and spectrum in this country are going nowhere but up. So our lens of how we look at spectrum holdings will have to evolve over time as well.
Benjamin Swinburne - Morgan Stanley, Research Division: That's helpful. And then just, Joe, you've put a lot of operational pieces in place, the billing systems in place, the product launch. Should investors and shareholders look at the rest of this year as a way to measure the investments you're making and focus in on any single or couple of metrics for the business? I know you said last year, you weren't hired to sort of harvest cash flow, but to grow the business. You guys used to do 800,000-plus gross adds a quarter. It's maybe a different industry today, but maybe you could just help us think about what should we look at over the next 2 to 3 quarters to see if the investments are paying off?
Joseph P. Clayton: Well, I don't think our metrics that we focus on have changed at all. Quite honestly, I think we made progress in the fourth quarter and again, in the first quarter, but we do have to grow our net subscribers. We do have to keep our churn lower. We've got to make money in doing this and indeed, it's a work in progress. So we'll try to make improvements every single quarter. That's about all I can tell you. I don't think that what we focus on is any different than it was 6 months ago.
Charles W. Ergen: Yes, this is Charlie. I mean, the macro trends are very competitive in this industry. I mean, I think we just saw something like 1.5 million less households watch -- in TV households in the last year. That's the first time since I can remember that TV households have actually gone down. You've got tremendous competition with most customers having 4 video providers or 4 choices for video, and you see heavy discounting of the product in the marketplace sometimes for the entire period of a 2-year contract. So you've got a very pretty interesting dynamic. Yet having said that, I think Joe and Bernie and Robert have put DISH in absolutely the best position. There's not any question that the Hopper is the best product in the marketplace, and can save customers money in terms of watching TV and give them a lot more choices, and it's very good for the broadcasters or that already shows that people watch more primetime television with the Hopper than they do with -- than our other units, which is good for the broadcasters, and it makes their product more valuable. So it really is the best product. The customer service metrics have been going up steadily over the last couple of years in terms of how we run our operations. And again, we'll have additional products. We hope more customers to purchase in the future from us and our customers -- our loyalty factor and our trust factor is going up with our customers. So I like where we're positioned. But how it goes quarter-to-quarter or month-to-month will be -- it's hard to really tell. But I feel like when we invest in a customer today, we can keep that customer long-term. I did -- I wasn't sure about that 2 years ago, and one of the reasons we were -- because we didn't -- we knew as a video-only company that, that was going to be challenging. And probably a negotiation every time somebody calls us on the phone, there's going to be a negotiation to how much discount you had to give them to have them stay with you. And I think now, we can just -- I think now, I feel confident we can just offer them a better product. And if you can offer somebody a better product, people will pay for a better product, and iPhone has shown that. And that's not the -- that's the most expensive phone in the marketplace, and yet people will pay for it because in their mind, it's a better product. And we're positioned to do that now with our product and strategically where we're going forward.
Operator: Your next question comes from Jason Bazinet from Citi.
Jason B. Bazinet - Citigroup Inc, Research Division: I just had a question for Mr. Ergen. Assuming that you get a thumbs up from the FCC, what do you think is a reasonable amount of time before you could have a wireless product available in the marketplace?
Charles W. Ergen: Well, that would depend. It would take -- I would again -- to the extent that we're building a network from scratch, again, we think that that's probably a 4-year time frame to have a network up for a portion of the country. To the extent that you could partner with people already in the business, you could do it much sooner than that. Realize that the frequency we're using is not in the ecosystem today. So what's different about our build out than perhaps others is that we have to develop S-band chipsets and S-band handsets. And we're all ready to go on that, and we're risking some capital to do that today even without the FCC approving us into the marketplace because we know we can do it with the satellite. But part of the rule-making could potentially change our frequency for example. So how do you -- you can't really start fabricating the chipset when the frequency might change, but we've changed by the FCC. So we're just holding on. We're going to put everything in place we possibly can, but the long pole in the tent is going to be -- it's in development of chipsets and radios and handsets. And we're not going to know for sure what we can and can't do ’til that rule-making's final so -- but to the extent you partner with somebody, you can get in much quicker to the marketplace. So it could be as long as 4 years to have the initial -- in my opinion, and it could be much, much sooner than that to the extent that you work with somebody already in the business.
Operator: Your next question comes from Jeff Wlodarczak from Pivotal Research.
Jeffrey Duncan Wlodarczak - Pivotal Research Group LLC: It's Jeff Wlodarczak. I just had 2 questions and a follow-up on churn. Other than typical seasonality, is there any reason that the sort of positive year-over-year churn trends that we saw this quarter should materially change over the course of 2012 unless there's a major change in the competitive environment? And then also on the closure of the 1/3 of the Blockbuster stores, what kind of G&A run rate saving should we expect going forward from that?
Bernard L. Han: This is Bernie. With respect to the churn question, I think it's fair to use year-over-year or seasonality that we've seen in historical years as a starting point. I think that's a fair way to look at it. I think this quarter -- first quarter 2012, as we've talked about, we have an unusual benefit in terms of not having a price increase, which typically we do in most first quarters of past years. And besides that, we're trying to do things to continue and improve churn. We're starting to lap, however, the period last year, in which we started seeing some trend improvement. So I think all of those would factor into how you look at churn going forward.
Robert E. Olson: Jeff, this is Robert. On the Blockbuster question, first of all, you need to keep in mind that the Blockbuster International business is close to the same size as the domestic business. So 1/3 of the domestic stores closing translates into a far smaller number overall of the Blockbuster business. In general though, I think that our focus on keeping the Blockbuster business at breakeven or better is what will continue. Obviously, the stores that we closed had the worst metrics in terms of G&A as a percent of revenue, in terms of operating margin. So that should help. On the other hand, we've talked in the past about having the benefit of purchase price accounting during the -- during most of 2011, and gradually rolling off through 2012. So all those things factor in. But consistent with my opening remarks, our focus is to keep experimenting, keeping the business at breakeven or above and taking action if we think it won't stay there.
Jeffrey Duncan Wlodarczak - Pivotal Research Group LLC: I'm just going to drop one more on you guys. Can you provide more color on the Charter co-marketing relationship? Are you seeing material gross adds in that partnership? And do you think there's opportunity to work with other maybe smaller, more mid-sized cable operators with a similar partnership?
Joseph P. Clayton: Well, once again, Charter has been the first cable company that we've worked with. We've looked at offering broadband services through a host of different other avenues, even with our own CenturyLink CLEC acquisition we made last year. So we're still looking at that either -- whether it's broadband by satellite, broadband through one of the cable providers, broadband through using the telco providers. We're open to, as long as it makes sense for financially and as long as it doesn't cannibalize our own subscriber base, we're open to that.
Jeffrey Duncan Wlodarczak - Pivotal Research Group LLC: Did you all see material adds from that channel this quarter?
Robert E. Olson: Yes, they probably weren't materialized. There were some adds, but not material.
Operator: Your next question comes from Tuna Amobi from S&P Capital.
Tuna N. Amobi - S&P Equity Research: My first question is with regard to the segmentational channels, which Joe alluded to. So of those 6 channels that you mentioned, I just wanted to get a sense on whether your segmentation actually changes the way you would be marketing to the channels. And also, specifically with regard to the mobile and tablets, the test drive, if you can update us on that and whether you view that as a separate channel, that would be helpful. And also separately, any comment on early market launches of Verizon and Time Warner Cable or Comcast on the wireless bundle? Was wondering if you're seeing anything in those early markets.
Joseph P. Clayton: I'll take the distribution question. Of course, we will go to market differently within each channel segment. The 2 that are most alike is our independent direct sales marketeers and our own direct sales business. We use similar tactics, strategies like direct mail, lead generation in those channels. In terms of the TVRO industry and market, that's more product displays, different type of promotional offers. You move into national accounts, that too, we go to market differently. Telecommunications are promotions directly specified for each one of our partners, whether that be Frontier, Windstream, TBS and possibly, new partners going forward. And last, but not least, the commercial sales or B2B, that market is going through a transition just like residential market move from analog to digital over the last several years. The commercial market has not made that switch yet. They will be making that shift in the next 18 to 24 months, and that you need different technology and different programming packages. So every channel is different. And we have organized the business not only to have different sales leaders, but different marketing support for each channel.
Charles W. Ergen: Yes, I was going to say -- this is Charlie. On the second question, I don't think we've seen -- I think it's too early to know whether there's an impact. But obviously, these guys are bright guys and obviously, that's something we have to be aware of that obviously when you can bundle wireless with cable, that has potential to be a compelling product.
Tuna N. Amobi - S&P Equity Research: Okay, that's very helpful. Just a quick clarification on the -- I note that you still have a pending waiver request on the technical provisions separate from the integrated service and space satellite. I was wondering if that proceeding is going to be now subsumed by the rule-making process? Or if somehow, the outcome of that could have any material implications one way or the other. Just a quick clarification on that.
Thomas A. Cullen: Tuna, this is Tom. I would -- we're assuming that what wasn't -- we had a number of waiver requests out there. The primary waivers were denied, went to the rule-making, but the licenses were transferred. They specifically did not modify some of the secondary and tertiary waiver requests as part of the license transfer. But we would expect those to be addressed in the rule-making's final rules.
Operator: Your next question will come from James Ratcliffe from Barclays.
James M. Ratcliffe - Barclays Capital, Research Division: Just 2 quick ones if I could. First of all, on price, I mean, clearly, a part of the reason not to raise price in 1Q was because of the billing system transition. Now that that's successful, would you consider a price increase later in the year out of cycle, so to speak? And secondly, on working cap, we've highlighted inventory and the tax item. Is there anything else in there that led to that working cap gain?
Robert E. Olson: James, I'll take the second question first. Now that the change in working capital this quarter was largely due to taxes and due to inventory, keep in mind the last year's working capital was impacted by the TiVo announcement.
Joseph P. Clayton: And in terms of the price increase, specifically in regards to our programming packages, there are no plans in place at this particular point in time to increase the programming packages. But hardware and some other possibilities could possibly exist depending upon the environment, the economic environment.
Charles W. Ergen: Thanks. I guess we'll be back in August. I may or may not be on that call. But certainly, Joe will be here and the team, and thanks for joining us this quarter.
Operator: This concludes today's conference call. You may now disconnect.